Operator: Ladies and gentlemen, thank you for standing by and welcome to Cabot's Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised today's conference may be recorded. I would now like to turn the conference over to your speaker host, Steve Delahunt, Vice President, Treasurer and Investor Relations. Please go ahead.
Steve Delahunt: Good morning. I would like to welcome you to the Cabot Corporation's earnings teleconference. With me today are Sean Keohane, CEO and President; and Erica McLaughlin, Senior Vice President and CFO. Last night, we released results for our fourth quarter of fiscal year 2022, copies of which are posted in the Investor Relations section of our website. Slide deck that accompanies this call is also available on our website and will be available in conjunction with the replay of the call.  During this conference call, we will make forward-looking statements about our expected, future, operational and financial performance. Each forward-looking statement is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these factors appears under the heading Forward-looking Statements in the press release we issued last night and in our annual report on Form 10-K for the fiscal year ended September 30, 2021 and in subsequent filings we made with the SEC, all of which are also available on the company's website. In order to provide greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. Any non-GAAP financial measures presented should not be considered to be an alternative to financial measures required by GAAP. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measure in a table at the end of our earnings release issued last night and available in the Investors section of our website. Also, as we typically do each year, I would like to remind you that over the next several weeks, in connection with the vesting of restricted stock awards issued under our long-term incentive equity program, officers of the company will be selling shares to pay tax and other obligations related to their rewards. I will now turn the call over to Sean, who will discuss the full year highlights. Erica will review the fourth quarter results, business segment and corporate financial details. Following this, Sean will provide some closing comments and open the floor to questions. Sean?
Sean Keohane: Thank you, Steve and good morning, ladies and gentlemen and welcome to our call today.  Fiscal year 2022 was an exceptional year for Cabot. We delivered record financial performance, achieved breakout growth in battery materials, advanced a range of strategic initiatives, including the divestiture of Purification Solutions and further our leadership in ESG performance. All of this was accomplished despite a turbulent macroeconomic and geopolitical environment. I am immensely proud of the Cabot team for the resilience and adaptability they demonstrated throughout the year and for their focus on execution and support of our customers. By successfully navigating this dynamic environment, we are entering fiscal year 2023 in a strong position.  At the beginning of fiscal year 2022, we introduced our Creating for Tomorrow strategy which charts a new phase of growth and breakout value creation by leveraging our strengths to lead in performance and sustainability. Our focus is on driving advantage growth, delivering innovative chemistry to enable a better future and relentlessly pursuing continuous improvement in everything that we do. In fiscal year 2022, we made tremendous progress in executing our strategy and achieving our long-term goals. I would like to spend a little time now recapping the accomplishments of the year.  The Cabot operating model is built on the foundations of commercial and operational excellence and our strengths in these disciplines drove outstanding results in fiscal year 2022. We delivered records for adjusted earnings per share of $6.28, total segment EBIT of $642 million and discretionary free cash flow of $395 million. In our business segments, Reinforcement Materials' EBIT increased 24% year-over-year to a record high of $408 million. This level of performance reflects the resilient nature of the replacement tire end market and the structural improvements to this business over the last several years.  Performance Chemicals' EBIT increased 11% year-over-year and we continue to generate strong momentum in battery materials which increased EBITDA by 81% year-over-year. Battery Materials is becoming a more material part of the portfolio and we continue to expect significant growth in the years ahead. Overall, we had a very successful 2022 in terms of financial performance. Adjusted earnings per share growth is running ahead of our 2021 Investor Day targets and has grown at a compound annual growth rate of 17% since 2019. At the same time, the quality of our returns remains very strong with adjusted return on invested capital of 20% in fiscal year 2022.  The foundation of our strategy starts with growth. We want to accelerate our growth by continuing to win in our core markets and increasing our share in applications with tremendous growth tailwinds. We are strategically focused on Battery Materials and the opportunity to capitalize on the explosive growth that comes with the transition to electric vehicles. To support this strategy, we are executing a range of growth investments. These include commencing operations at our Xuzhou, China plant, that supports capacity growth in both Battery Materials and Specialty Carbons.  In addition, we acquired a new facility in Tianjin, China, to support the growth of conductive carbons for Battery Materials and the first phase of upgrades is scheduled to come online in fiscal year 2024. We also completed the first phase of a carbon nanotube dispersion capacity expansion at our Zhuhai China facility which added 25% to the capacity in fiscal year 2022. We expect to complete the next phase by the end of calendar year 2023.  During fiscal year 2022, we also began Phase 1 of a plan to double capacity at our inkjet manufacturing facility which is set to commission in mid-2023, with the remaining capacity addition expected to be completed by 2025. This capacity will enable our inkjet product line to meet the growing demand of digital printing in commercial and packaging applications. We are excited about the high growth potential of Battery Materials and inkjet for packaging and are confident in our strong operating cash flow to fund these expansions.  Now turning to ESG. Cabot has long been a leader in sustainability and been recognized by external parties for excellence. Fiscal year 2022 represented another year of important progress in our sustainability journey. We were again recognized by Newsweek as one of America's Most Responsible Companies and by Investor's Business Daily as one of the 100 Best ESG Companies, placing in the top 3 in the chemicals category. We also earned the top rating of Platinum from EcoVadis for the third consecutive year which places us in the top 1% of the basic chemical space.  The world needs innovative chemistry to address many of the most challenging climate goals and Cabot's materials are playing a critical role in applications ranging from lithium-ion batteries for electric vehicles to performance additives that enable lightweighting of cars and novel E2C solutions which again earned a place on European Rubber Journal's list of top 10 elastomers for sustainability.  While supporting our customers' sustainability goals is central to our creating for tomorrow strategy, we also strive to reduce the impact on our own manufacturing footprint. To this end, in 2022, we announced our ambition to achieve net emissions globally by 2050. This aspiration requires a long-term strategic view of our business and a multifaceted technical approach. Our 2021 sustainability report further highlights our plans and progress in these areas.  As a company, we believe that long-term success requires sustainability to be integrated into strategy. Our progress in fiscal year 2022 clearly demonstrates our commitment to sustainability leadership and we intend to build on this success moving forward.  I will now move on to an update on Battery Materials. Battery Materials results continue to outpace the market. In fiscal 2022, volumes grew 58%, revenue increased 74% to $132 million and EBITDA grew 81% in the year to $29 million. We continue to build Commercial momentum and are seeing strong demand for our conductive carbon additives from the world's largest battery manufacturers. We have built a deep technical understanding of this application and are recognized by customers for our broad product offering in the space of conductive carbon additives.  Cabot offers the broadest range of conductive carbon additives including conductive carbons, carbon nanotubes, carbon nanostructures and blends of these materials to optimize performance.  In addition to our strong product offering, Cabot's value proposition is supported by our unmatched global network of manufacturing plants, regional research and development labs and commercial and technical experts that can support customers in all major regions where battery production is rapidly growing. We are currently selling to 6 of the top 8 global manufacturers of batteries which represents approximately 90% of the market and have active development programs with all of the top 8 players.  The growth of Battery Materials is underpinned by strategic capacity additions which are critical to meet our customers' volume ramp-up requirements. As discussed earlier, we're on track to meet our goal of tripling Battery Materials capacity by 2024.  Looking ahead to 2023, we expect commercial momentum to continue as sales to current customers are forecasted to grow and we were recently qualified in 2 new platforms with top EV lithium-ion battery manufacturers with sales ramping in 2023. We are also in final stages of qualification with several automotive OEMs that are building battery capacity. The automotive OEMs will be critical for the long-term growth of Battery Materials. And I am pleased to announce that Cabot has signed a multiyear agreement with an American multinational automotive company and has received the first order to supply conductive carbons for EV batteries.  Based on our current outlook, we expect EBITDA for fiscal year 2023 to be in the range of $45 million to $50 million. The midpoint of this range equates to a 64% EBITDA growth year-over-year.  I'll now turn the call over to Erica to discuss the financial results of the quarter in more detail. Erica?
Erica McLaughlin: Thanks, Sean. I will start with discussing the fourth quarter. I'm pleased to report strong fourth quarter results with adjusted EPS of $1.55. This performance was 40% above the same quarter last year, facing significant currency and inflationary headwinds plus pockets of softening regional demand within our Performance Chemicals segment. Both segments delivered earnings growth year-over-year, led by the Reinforcement Materials segment which was up 63% in the quarter. We also continued the momentum in Battery Materials with a record fourth quarter and ended the year with EBITDA of $29 million as this business starts to become a material contributor to Cabot's results.  Cash flow from operations was strong at $105 million in the quarter and liquidity remained solid at $1.1 billion. As we look at our full fiscal year results for the company, we delivered adjusted EPS of $6.28 which is a 25% growth year-over-year. Drivers of growth in segment EBIT include volumes both higher in both Reinforcement Materials and Performance Chemicals, as well as significant margin expansion, driven by our exceptional price and mix management in the face of rising costs and inflation. The higher volumes and higher margins more than offset headwinds related to the strengthening of the U.S. dollar and lower EBIT from the divestiture of our Purification Solutions business.  Moving to Reinforcement Materials. During the fourth quarter and full year of fiscal 2022, EBIT for Reinforcement Materials increased by $42 million and $79 million, respectively, as compared to the same period in the prior year. The increase was principally driven by improved unit margins from higher pricing and mix in our 2022 calendar year customer agreements and higher volumes. Higher volumes are driven by strong demand in all regions. Year-over-year results were also impacted by higher utilities and the negative impact from a stronger U.S. dollar. The impact of the stronger U.S. dollar was unfavorable by $6 million year-over-year in the fourth quarter and $16 million year-over-year in the fiscal year.  Looking to the first quarter of fiscal 2023, we expect a sequential decrease in EBIT due to lower energy prices impacting our energy center revenue, lower volumes from normal year-end seasonality and downtime at a North American plant that will impact both volume and fixed costs. The impact of these factors is roughly equal for a total of about $15 million to $20 million sequentially. We expect that year-over-year EBIT results in the first quarter of fiscal 2023 will be higher than the first quarter of fiscal 2022.  Now turning to Performance Chemicals. EBIT increased by $4 million in the fourth fiscal quarter and $23 million for the full year as compared to the same period in fiscal 2021. The increases in both periods were driven by higher unit margins as a result of improved pricing and product mix in our Specialty Carbons and fumed metal oxides product line and higher volumes in Battery Materials. Volumes grew 67% in products sold to battery material applications in the fourth quarter as compared to the fourth quarter of 2021, as we continue to see customer wins and demand growth driven by EV demand. These benefits were partially offset by increased costs associated with higher maintenance and utility costs and the unfavorable impact of foreign currency movements.  The translation impact of the stronger U.S. dollar was unfavorable by $3 million year-over-year in the fourth quarter and $7 million year-over-year in the fiscal year. Year-over-year volumes in the fourth fiscal quarter increased by 3% in Performance Additives and by 5% in Formulated Solutions.  Looking ahead to the first quarter of fiscal 2023, we expect a sequential volume decline of approximately $10 million to $15 million as the economic slowdown in Europe and customer destocking is expected to unfavorably impact demand in this segment. We expect the year-over-year EBIT results in the first quarter of fiscal 2023 will be lower than the first quarter of fiscal 2022, given demand softness and inventory destocking and our intention to also reduce inventory levels.  I will now turn to corporate items. We ended the quarter with a cash balance of $206 million and our liquidity position remained strong at approximately $1.1 billion. During the fourth quarter, cash flows from operating activities were $105 million which included a working capital increase of $41 million. Capital expenditures for the fourth quarter of fiscal 2021 were $90 million. Additional uses of cash during the fourth quarter were $21 million for dividends and $5 million for share repurchases.  During fiscal 2022, we generated a record $395 million of discretionary free cash flow, while working capital increased by $431 million. Working capital increase was largely driven by the impact of higher raw material costs. Capital expenditures for fiscal 2022 were $211 million which included both our targeted growth investments and spend related to U.S. EPA compliance projects. We expect capital expenditures in fiscal 2023 to be between $300 million and $350 million. This estimate includes U.S. EPA-related compliance spend on our third and final plant and increased spending on growth projects related to high-confidence, high-return areas of the portfolio.  The growth-related capital includes projects Sean discussed earlier in the presentation for additional capacity in Battery Materials and inkjet. Additional uses of cash during the fiscal year included $84 million for dividends and $53 million for share repurchases. The operating tax rate for fiscal year 2022 was 26% and we anticipate our operating tax rate for fiscal 2023 to be in the range of 26% to 28%.  I'll now turn the call back to Sean to discuss our outlook. Sean?
Sean Keohane: Thanks, Erica. Moving to our 2023 outlook. Clearly, we are entering the year with some uncertainty on how the global economy will perform. The energy crisis in Europe is impacting consumer demand and the competitiveness of regional manufacturers. In China, growth has slowed as COVID management policies remain a constraint to economic recovery. And in the United States, it remains unclear what the impact will be with the Fed's actions.  While these macro factors are affecting all companies, we feel good about the resilience of our portfolio and the strength of our balance sheet and overall financial position. In terms of the assumptions that underpin our outlook, we expect volumes in Battery Materials to grow above market again in fiscal year 2023, with momentum building as we progress through the year.  In Reinforcement Materials, we expect volumes to remain in line with market as replacement tire demand is expected to remain resilient and auto OE demand is forecasted to improve. In Performance Chemicals, excluding Battery Materials and inkjet, volumes are expected to be impacted by customer destocking and economic softness in Europe and China, predominantly in the first half of the year, with volumes returning to a more normalized level in the second half of the fiscal year. As we look at our margin expectations, we achieved strong pricing gains in our calendar year 2023 Reinforcement Materials customer agreements, driving an expected bottom line improvement in EBIT of approximately $20 million per quarter starting in Q2.  In Performance Chemicals, we anticipate stable unit margins as we expect to continue to offset higher raw material costs and inflation with price increases. As with many multinational companies, we face headwinds from a stronger U.S. dollar. Based on current foreign exchange rates, we anticipate this to be a headwind of approximately $30 million year-over-year, split roughly equally between the 2 segments. In addition to foreign exchange, rising interest rates also are expected to be a headwind of roughly $20 million as compared to fiscal year 2022. The total of the impacts from foreign exchange and higher interest rates is expected to be a headwind to fiscal 2023 results of approximately $0.65 on an EPS basis.  Based on these assumptions, we expect adjusted EPS in fiscal year 2023 to be in the range of $6.25 to $6.75 which is up 4% at the midpoint and up 14%, excluding FX and interest headwinds. As we think about the quarterly shape of earnings, the first quarter results are expected to be down year-over-year and accelerate as we move through the year with the expectation that the second half of the fiscal year will deliver higher year-over-year adjusted EPS.  While the near-term macroeconomic uncertainties present a challenge to be managed, our team is focused on long-term growth and realizing the breakout value potential of our portfolio. During Investor Day last December, we launched our Create for Tomorrow strategy which seeks to leverage our strengths and exposure to compelling macro tailwinds to drive strong growth of earnings and cash flow through 2024. Delivering on our commitments is paramount for this management team. And looking back to Investor Day last year, we are very proud of the progress that we've made so far. Let me first recap the goals and the financial framework that we outlined at Investor Day 2021.  We expect strong business performance to translate into adjusted earnings per share growth of 8% to 12% compounded annually through 2024. Over the same period, we expect to generate strong discretionary free cash flow in excess of $1 billion which will be deployed to fund growth projects and high-value applications, including Battery Materials and inkjet, for packaging as well as to return capital to shareholders.  So far through fiscal year 2022, we are executing very well. Adjusted earnings per share grew 25% year-over-year and we generated $395 million of discretionary free cash flow in fiscal 2022, putting us in a strong position to achieve our 3-year target of greater than $1 billion. These results in the year were achieved while making significant investments to support sustained earnings growth in the future. While the macro environment has weakened since Investor Day 1 year ago, we remain confident in the resilience and strength of our portfolio and in achieving the 2024 Investor Day targets.  Overall, I'm very pleased with our performance in 2022 and the track we are on to deliver breakout value creation.  Thank you very much for joining the call today and I will now turn it back over for a Q&A session.
Operator: [Operator Instructions] Our first question coming from the line of David Begleiter with Deutsche Bank.
Anthony Mercandetti: This is Anthony Mercandetti on for David. Can you guys touch on how the '23 tire customer agreements ended up wrapping up? And maybe how much higher pricing will you achieve on your '23 customer agreements?
Sean Keohane: Anthony, so a few comments about the tire customer agreements. First of all, I'd say, overall, we're very pleased with the outcome. We achieved price and product mix improvements that we anticipate will produce $35 million per quarter in increased prices. Now this will be netted down a bit by about $15 million to a net of $20 million due to the impact of foreign currency translation that Erica talked about, higher inflation on our cost base and then lower energy center revenue as gas and electricity prices have come off their peaks in 2022. So again, the net benefit expected to be approximately $20 million per quarter. And just a reminder, these are calendar year agreements, so they will step up in our fiscal Q2. And at this point, we have reached agreement with substantially all of our major customers. And as I've commented on in earlier calls, this is definitely earlier than in a typical year. And I think it reflects the desire of our customers to secure supply in a tight market. I think supply security, especially given the Russian invasion of Ukraine and the growing desire for more local or regional supply, I think was the primary motivation for most of our customers this year. And we found many of them were looking for additional volumes from Cabot due to us being a partner of choice. We've built a long record of consistency and reliability. And I think customers were interested in securing agreements with us. So overall, I would say the outcome of the negotiations with customers has been a very good one for Cabot and for our customers. Our customers have been able to secure reliable sourcing from us in a very uncertain and supply-constrained environment. And we have improved the pricing and the product mix in these contracts. So I think overall, it's a very good outcome. So really, really pleased with it.
Operator: And our next question is coming from the line of Joshua Spector with UBS.
James Cannon: This is James Cannon on for Josh. I was wondering if you could talk a little bit about the volumes you're seeing in specialty blacks and fumed silicas and what we should be thinking about as we look into the next quarter?
Sean Keohane: Sure, James. So maybe a few comments about Performance Chemicals. But before I do that, I'll, just for completeness, touch on reinforcement as well. So we're definitely expecting that reinforcement volumes will be moving in line with market. And generally, this market is quite resilient because of the replacement -- the high replacement tire nature of this business. But in Performance Chemicals, a few things. First and foremost, I'll try to break it out into some categories that are relevant for you. I think in terms of batteries and inkjet, the high-growth vectors in the company, we're definitely expecting volume growth in 2023. Now moving outside of those high-growth vectors, I think there is a good amount of uncertainty out there in our Specialty Carbons and FMO end markets. And I think this is -- given the longer value chains in this segment and the fact that we are seeing some demand softness and some destocking, particularly in this quarter, so that's impacting carbons and few metal oxides. And so our view, as we sit here today and think about the year, is we'll see a weakness and some fairly pronounced destocking in our fiscal Q1 which is the December quarter and then some modest improvement as we transition into Q2 with then a return to a more normalized volume level in the back half of the year. So that's the shape that we expect to see. And again, I think that shape is fairly consistent with what other chemical players that participate in these sort of plastics and polymer chains like carbons and FMO does. I think that's fairly consistent with what people are expecting. But that's our best view at this point, James and how -- in terms of how the year will evolve.
James Cannon: Great. And if I could just follow up with that. If you're assuming kind of a return to normal in the back half, would you say Performance EBIT could be up on a year-over-year basis in full year?
Sean Keohane: So we're expecting Performance on a full year basis will be flat to down, again, on a full year basis with a weaker first half and a stronger second half. But I would say the second half results would expect to be up on a year-over-year basis. So it's more a question of the shape. And again, our fiscal year picks up this December quarter which, of course, most chemical companies are expecting to be the weakest. But to get to your question, I think the answer would be yes, that would be our expectation.
Operator: And our next question coming from the line up Jeff Zekauskas with JPMorgan.
Jeff Zekauskas: Is there any price pressure in Specialty Carbon Blacks?
Sean Keohane: Prices and margins are holding up pretty well here, Jeff. So I think it's more of a near-term demand challenge as destocking occurs. And then as we take inventories down, then we have sort of the underutilization issue that we have to work through. But overall, pricing and unit margins -- unit variable margins are holding up pretty well. And where you might normally see some pressure might be on the lower end of Specialty Carbons and I think there is a floor to that given where Rubber Black's unit margins are and the ability to trade across if that opportunity is better. So that's sort of how we think about it.
Jeff Zekauskas: In Reinforcement Materials, why is it that you're not expecting a destock by the tire companies? And that usually in economically weak periods, demand in the reinforcement markets is pretty sharply negative. And can you talk about current demand trends and reinforcement in China and maybe prices in China as well?
Sean Keohane: Yes. So I guess a couple of things on reinforcement. As you know, Jeff, I think over the long term, what you typically find is that the demand is pretty resilient through economic cycles and because of the high replacement tire market and the link to miles driven. And so typically, you don't see significant impacts. And I think the other thing that's playing out right now is that the OE part of the market actually has some momentum up. So I think this is because there's still quite a bit of pent-up demand in the OE channel, because of chip shortages and supply chain issues and the like over the last year or two. And so IHS is forecasting that OE will be up. So I think there are some factors that are a little bit different, while the macroeconomic environment in the near term is certainly a bit weaker, OE is more supportive and the replacement tire market is quite resilient. And I think customers too have not built as much inventory in this space as maybe it would be typical just because of supply challenges over the last year or so. And so I think that along with sort of what we're seeing and hearing from our customers would say that we expect the demand in this business to remain pretty resilient.  Jeff, you had another question on it?
Jeff Zekauskas: Can you comment on China?
Sean Keohane: Yes, sure. So China definitely is experiencing a bit of a weaker macroeconomic environment, for sure. Our volumes in China are holding up pretty well as well as unit margins here. I think that's principally because coal tar prices are still very, very high relative to global fuel oil prices. And so I think the -- there's an upward sort of bias on pricing, because of that that's holding unit margins in a pretty good spot. But China overall is definitely a bit weaker right now. And we would expect that, that would, that would improve as we move through the fiscal year and as they take some policy actions to try to rebalance a bit their COVID management versus economic growth. But overall, China is pretty steady for us.
Jeff Zekauskas: Maybe lastly for Erica. I think the working capital used this year was about $430 million. Maybe last year, it was $220 million. What's the working capital change look like for fiscal 2023? And is there anything you can do to generate more cash?
Erica McLaughlin: Sure. So I think the main driver of the last 2 years, Jeff, has been the rising cost of inputs. And so that, as you know, translates into higher inventory values as well as in the pricing as we pass through the cost. Plus, of course, we've had additional price increases going through to expand margin. So those have been the major drivers. As we look at 2023, the view is that these input costs are moderating and as the forward curve would tell you, they would be going down as we move through the year. In which case, then you would see working capital change direction potentially, depending on the level of increase in source of cash come out of that as it declines. If it remained flat, again, then the only working capital you would need would be growth-related working capital. So our expectation is we would not see such a large use of cash from working capital and that the operating cash flow then would be quite a bit stronger than what we've seen over the last year for 2023.
Sean Keohane: Jeff and the only other thing I might add to that. An important part of our overall negotiations this year with our tire customers was also to address payment terms and terms around inventory. And I think we made really good progress there. So to your point about what additional levers do we have, we are making good progress on those. So as Erica said, if feedstock based on the forward curve moderates, then that would be an inflow of cash from working capital and then our efforts on payment terms will help as well but very much depends if that forward curve plays out.
Operator: [Operator Instructions] And our next question coming from the line of Laurence Alexander with Jefferies.
Laurence Alexander: Given the price increases in reinforcement blacks, can you characterize where you are relative to reinvestment levels?
Sean Keohane: Sure. Laurence, so we are in a really strong position here, where despite the rising investments to support sustainability for our customers, the pricing levels that the team has been able to realize put our business in a strong place in terms of returns. So we're in a very strong position with respect to returns on invested capital in this business and clearly at a reinvestment level in the business.
Laurence Alexander: Speaking of decarbonization, can you give an update on your thoughts around how methane pyrolysis could affect the carbon black industry's supply-demand balance? And any thoughts on how you could use some of the coproducts from that as feedstock for your capacity?
Sean Keohane: Yes, sure. So looking at new technologies and always being aware of threats around substitutes is something that we look at, both from an offensive and defensive play here. And we've been studying this one actively for quite some time. And I think there are clearly some product performance challenges as we understand it in terms of getting the product to perform in an application in the tire industry, in particular. That I think if it develops, will certainly take some time and there's a massive scale mismatch here. That means that the furnace black route to making carbon black for tires is far and away the best way. And ultimately, I believe, the most sustainable way because I think in the future, things like carbon capture on a furnace black plant will probably be the most economic way to meet quality and scale requirements for customers here. But that's something that will play out over a very long period of time. The tire industry is pretty sensitive to changes in inputs in terms of performance and safety. And so I think that's a quite long term.  I think the other thing as we assess the hydrogen markets, I think in the long run, what you're going to see is that most of the hydrogen investment is going to the water electrolysis route and because of its environmental friendly nature. So as hydrogen grows, we see most of it going that way, where there isn't actually a carbon byproduct. But if there are some carbon outputs from such a process, then we would look to evaluate that as a potential input, particularly for markets like our Specialty compounds business where we look to develop sustainability options for our plastics customers. And we'll use recycled polymer and may look at other carbon byproducts from this route as a potential source for developing a sustainable product.
Laurence Alexander: And then I just had to ask, given you mentioned that carbon sequestration might be a long ways off. Do you think you could be doing at least 1 such project before 2030, given the incentives in the U.S.?
Sean Keohane: Yes. So certainly, carbon capture is something that I would say is still in demonstration phase with certain industries but it is one that we think will likely feature prominently in the long wavelength of decarbonization for the chemical industry. I think some of the chemical peers have been fairly public about this, Dow and some others, I think, about the role there. So it is something that if you think about delivering a decarbonized product for a tire customer, the tire industry needs, I don't know, 15 million tons of carbon black a year in all parts of the world. And so to build scale in an alternative process is a really, really difficult thing to do and the most, probably likely an economic way to decarbonize the furnace route would be through some sort of a carbon capture unit. Now that would require collaboration with a range of industry players in order to do that. And it's certainly something that we will be evaluating as we progress towards 2030 to try to think about a demonstration type of a unit and to try to see if we can take advantage of incentives that would be out there to do such a thing.
Operator: Our next question coming from the line of Chris Kapsch with Loop Capital.
Chris Kapsch: So I have a follow-up on the Reinforcement Materials business and the outcome of the annual supply agreements that you talked about. So in your formal remarks, you mentioned good pricing outcome but stable volumes, I think the term was. And so that's juxtaposed against the European market that seems extremely motivated to secure additional sources of carbon black supply as they phase out their dependence on Russian suppliers. So curious if you're simply sold out in that region? And I'm asking because in a response to another question on specialties, you mentioned the ability of carbon black producers to, I think you said, trade across some segments. I think you're implying the deployment of reactors that are currently devoted to Specialty products could be used for producing reinforcement grades of Carbon Black. So just wondering if you elected not to make this trade or if this is a potential source of upside for the volumes that are spelled out in the annual contracts as you see them today.
Sean Keohane: Yes. Chris, so I think a couple of things. First, our outlook, our expectation assumes that our Reinforcement business moves in line with the market. And I think if you look at LMC which is the forecast that we rely on here for expected tire production. If you look at the fiscal year '23, so if you take their '23 forecast and fiscalize it for our fiscal year, it implies sort of flattish to maybe a little less than 1% production growth. So that's what's sort of serving as the base for the expectation that we said in their prepared remarks and why we see it moving in line with market. Now to your question on capacity and movements between Reinforcement and Specialty Carbons, that's definitely something that we will be dynamic and we'll look at as we progress through the year. Specifically to your question on Europe, as you might recall, the network has been very tight. Utilizations have been very high for some time now. So there was not any material additional capacity they are beyond supporting the base growth expectations for customers. But if we are seeing weakness in the lower end of Specialty Carbons in the course of the year, then there is that opportunity to certainly to trade across and we continue to get requests from customers for additional volumes in Reinforcement, because supply is tight and these uncertainties remain. So I would characterize it as an upside but hopefully, that gives you a sense for sort of the base case and how we arrived there.
Chris Kapsch: Okay. And is there any way to quantify what that potential, just -- I don't know, capacity might represent if, in fact, specialties were, because of the macro, because of the economy in Europe specifically, how much of that swing capacity might represent in terms of potential to serve these European customers?
Sean Keohane: Difficult to quantify, Chris, because it first starts with what sort of demand do we see in Specialty Carbons and then it depends which reactors that's on and which of those would naturally fit better to serve and pivot to Reinforcement. So you sort of end up in this kind of very layered assumption analysis. And so it's difficult to give any kind of a rule of thumb. But I think what's important to understand is that we're very dynamic in our management here of the business. I think we've proven that over the last several years. And so as those opportunities emerge, then we will certainly move quickly to take advantage of them. So tough to give a rule of thumb here.
Chris Kapsch: Fair enough. And then 1 last one. So when we travelled recently, Sean, in meetings, you were talking about how some of the carbon black producers in China were shipping -- exporting to Europe because, reflecting just how, I don't know if desperate is the word but how motivated customers there were to get additional sources. And it was at the time, just with the shipping rates and challenges of shipping light fluffy carbon black and given the high crude coal tar feedstock costs in China which you mentioned in this call, it just seemed highly uneconomic. I'm curious if that -- how that dynamic has been playing out lately and if that is at all influencing the regional market in China?
Sean Keohane: Yes. So I think you've summarized it pretty well there, Chris. So the dynamic in Europe is very tight, given the Russia supply situation and customers placing a real emphasis on supply security. Now that has led to an increase in Chinese imports into Europe but those are coming in at a pretty high prices. Because Chinese coal tar has not declined, even though global fuel oil has. And so there's a pretty significant, I would call it a kind of a negative orb right now between Chinese coal tar and U.S. Gulf Coast feedstock which makes it not uneconomic to move the product into Europe but it just means it's coming in at the highest price. So basically, you're moving in product that's at the right-hand side of the global supply curve, not the left-hand side. So it's, I think, a factor in the more supportive pricing environment. So I think you've got it well understood. And with respect to China, again, our business in China is holding up pretty well. Certainly, as some of this product moves out of China, that provides a little more support in China for pricing. And that's, I think, one of the reasons why despite a weak economic environment there, things are holding up fairly well for our business. So it tends to be a modest supportive dynamic in China because the carbon black that does move out, has to be carbon black that is of the quality to support the global tire makers. And so those are typically the people we compete against in China. And so that would be a modest supportive dynamic in China.
Operator: Thank you. And I am showing no further questions at this time. I would now like to turn the call back over to Sean Keohane for any closing remarks.
Sean Keohane: Great. Well, thank you very much for joining the call today and for your continued support of Cabot and we look forward to speaking again next quarter. Thank you.
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you for your participation. You may now disconnect. Good day.